Operator: Good afternoon, ladies and gentlemen, and welcome to the Heidelberg Materials Half Year 2025 Results Conference Call. My name is Josef, the Chorus Call operator. [Operator Instructions] And that this conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or for broadcast. At this time, it's my pleasure to hand over to Christoph Beumelburg. Please go ahead.
Christoph Beumelburg: Thank you, operator. Good morning, good afternoon, good evening to everyone listening. We have our Q2 results call, and we prepared some remarks that you may have read already. Dominik and Rene will go through them real quick, and then we have ample time for Q&A. . So over to you, Dominik.
Dominik von Achten: Thanks, Chris. Thanks, everybody, for joining. Welcome from our side to the Q2 2025 call, where we will present you the prepared remarks. I think overall, great quarter for us. We are satisfied with the delivery of what we have promised, strong revenue growth 3%, but especially RCO, up 8%, carried by disciplined pricing, by good cost management, not so much volume up, clearly upside down the road. We have executed the second tranche of the share buyback. As announced, still running and has been started during Q2 and magnitude up to EUR 450 million. We are continuing to be on the gas pedal when it comes to growth. We have closed the giant acquisition in the U.S. in April, and we've also successfully closed the transaction in Morocco end of Q2. So in that respect, things are moving in the right direction. That's also true for sustainability. Great progress here, minus 4% CO2 emissions year-over-year. I think that's good because we wanted to pick up speed a little bit towards the targets of 2030, and I think that moves in the right direction. And on the back of all of that, we are confident to confirm our outlook for 2025, with an RCO band of EUR 3.25 billion to EUR 3.55 billion, ROIC of around 10% and a slight reduction on CO2 emissions. Okay. Then we go to Slide 4. When we come to the details of the results. You see revenues up 3%, EBITDA up 7%, EBIT up 8% even, and the operating margin moved up 81 basis points to 24.2%. I think that is pretty much in line with what we have targeted. H1 is a little bit weaker. That also tells you that Q2 has the right trend. And you see on Page 5, the results for the first half, which is then 6% up in EBITDA and 7% up in RCO, margin up to 18.7%. What is important for us is on Page 6, you see that volumes are still coming down a little bit. So there was no help at all from the volume side, which leaves the upside on the road, but good management of price over cost with a clear positive EUR 99 million that then leads to an operating EBIT of more than EUR 1 billion first time for us in the history of the company. H1 2025, then even with a more pronounced picture on the price over cost, you see also here the volume pressure for the first half, minus EUR 67 million was a little bit higher for the first half. That shows you that the volumes are ever so slightly leveling out and even coming back, which is good news, while the price over cost is even more pronounced in H2 than it is in -- in quarter 2 versus H1. So overall, also that trend goes in the right direction. It's carried not only but also by the transformation accelerator, we have said we target the EUR 500 million. We are absolutely fully on track to get there. I would be even hopeful that we may even overperform on that one. But for now the clock is ticking, and we have about EUR 140 million in the pocket, but the trajectory is going in the right direction. So overall, I'm very satisfied, and we are very satisfied with what we see here. Europe, on a high level on the revenue basically more or less flattish, slightly up, reported like-for-like flattish, EBITDA margin moving up in the right direction and also RCO on a high level, moving beyond the EUR 500 million. For the EBITDA margins you see, in cement, up and also in aggregates up. So also there, the train moves in the right direction. North America with a little bit of headwind like-for-like revenue is down but reported 4% up because the growth is really moving in the right direction. I mentioned Giant, EBITDA margin more or less flattish, RCO, more or less flattish. And therefore, the business lines, cement slightly up and aggregates quite significantly up in terms of margins. So I think the underlying structure is okay. We just obviously need the market to come back in North America, which we are hopeful that this will happen. Asia Pacific, still I think there is upside from our perspective. But turning the corner in the performance, you see that EBITDA margin goes up. You see that the RCO goes up. And you see also that margins both in cement and aggregates go up. So I think that indicates that Asia is finding some stable ground from where we then can further accelerate. And talking about acceleration, AMWA; Africa, Mediterranean, Western Asia is clearly performing on a very high level, 25% -- almost 25% revenue up. EBITDA margin significantly up to 25.8% and results almost 50% up with plus 44% up to EUR 144 million. EBITDA margin in cement, really good now at 27.8%. If you go to Page 13, you see that also good results on the financial side come with good results on the sustainability. Obviously, for us, key milestone in Q2 was the opening of Brevik, some of you were present there. This is the world's first carbon capture industrial scale plant in our industry. We are well on track also with acceptances and delivering the first -- storing the first CO2. So that looks really promising, and we are happy that on the back of that in H2, we will start with the sales of evoZero, which is a unique product globally, and we will clearly market that to some very exciting customers and projects. Circularity moves on with our development in Poland, both on recycled aggregates and also recarbonation. So the combination of EcoCem there and also our Gorazdze cement plant are doing, in the hyper-local vicinity around the plant, a very good job where we will now deliver the first concrete with 100% recycled aggregates. I think that's great news. So circularity is also being advanced quite substantially. And last but not least, especially also for our emerging markets, a very good news from Ghana. You heard us talk about the erection of the calcined clay plant. We are now in the market with the low carbon products there locally sourced and locally produced and locally sold, which for imports markets like Ghana is a very important advantage because you don't get stuck in ports with clinker imports, but rather produced locally, so 100% local content in that respect. That's great and the market is very well accepted -- the product is very well accepted in the market. If you go to the details of the sustainability performance for us, it's -- we continue to build our leadership in terms of clinker incorporation sector. Now down to 68.5%. That's very good indeed. We started back in 2020 at almost 75%. So significant progress there. But what is also very important to see is the acceleration of the alternative fuel rate. You see that we jumped up from 30.6% to 33.5%. So the above 50% target is clearly in reach. Big contribution from that end, and we are very confident that we will get to the above 50% by 2030. And on the back of that, obviously, the CO2 emissions came very close to 500 kilograms on a global scale in reach with a target for 2030 of below 400. With that, I would hand over to Rene and you go to the financials.
René S. Aldach: Thanks, Dominik. Hello, everyone, as well from my side. What you see here are the quick snapshot of our financials. You see the adjusted earnings per share is very nicely up that tells you that below RCO, everything is in shape. Also, our free cash flow generation in the last 12 months remains strong at around EUR 2.3 billion and very close to our 50% conversion target, which is good. Leverage is similar to last year at around 1.56x. And then as Dominik alluded to, our shareholder return is, let's say, progressing with the second tranche of the share buyback, which is ongoing, I think, overall, a very solid financials in terms of cash flow and below RCO. If we go to the details on Slide 16, the full P&L, you see our AOR, additional ordinary result is EUR 108 million better than last year. Why? Because last year, we had the big impairment and restructuring costs for the plant closures in Europe in our numbers. So that -- obviously, there's a little bit relief here. Financial results flat, which stays at a very, very low level for the size of the company. Income taxes is EUR 50 million up. And why is this because we had last year, due to the impairments of the plants, which we closed, we had a positive DTA of around EUR 20 million this year -- EUR 20 million negative. So that's EUR 40 million, let's say, accounting effects on taxes. The good thing is the current income taxes, which is as well determining or a big factor for our ROIC stays flat year-over-year, which tells you that our effective tax rate here for current taxes is improving. And then the rest, noncontrolling interest goes slightly up. Why? Because our Africa result is very strong. And here, for example, in Ghana, Tanzania, we have some minorities. Obviously, the result goes out. So in total, group share profit goes up roughly 20%, which is then translated into as well earnings per share. So I guess very, very solid financials below RCO also. Coming to the cash flow on Slide 17. Overall, the cash flow is roughly EUR 100 million up versus prior year and where does this come from, obviously, change in EBITDA up and then you see that. The cash outflow from working capital is EUR 120 million better than it was last year. That's what I said what we are targeting to improve our working capital, and this is what you see here. And this is a little bit compensated. You see noncash items and other. We had to pay some cash out of provisions for the restructuring and you have seen the currencies moving, and we have some negative effect on our currencies. Now cash flow here in that number also. But overall, if you then look at CapEx, very disciplined, we are even EUR 40 million below last year. I think that is everything what we promised here. Again, we deliver. If you go to the next slide, Slide 18, there's a net debt bridge. You see here our net debt per end of June stays at EUR 7.2 billion, which is a leverage of 1.56x. You see that in the last 12 months, our growth ambition here is clearly visible. We spent EUR 1.4 billion on M&A. And in -- for the shareholder returns, again, above EUR 1 billion. I guess it's confirming what we said. And in that EUR 7.2 billion, we closed Aspen until late June. So there's Aspen number in there. So pro forma, the leverage would be lower if you include also the Aspen result, which you obviously don't have in here. So in reality, the leverage will improve even like-for-like in the next few months. For the outlook, Dominik, then I hand over to you back again.
Dominik von Achten: Thanks, René, and I'll close with the final chart. On the back of all what you have heard, we have then confirmed our guidance or will confirm our guidance to come in, in an RCO between EUR 3.25 billion and EUR 3.55 billion. ROIC around 10%. CO2 emissions was a slight reduction. And then just as an indication, CapEx will stay around EUR 1.2 billion, and the leverage will stay around the midterm target of 1.5x. So that's it from our side. .
Christoph Beumelburg: Thank you so much, Dominik and Rene. Operator, you want to start the Q&A session, please.
Operator: [Operator Instructions] The first question comes from Luis Prieto, Kepler Cheuvreux.
Luis Prieto: I have 2, if I may. The first one is if you would be able to break down the price over cost building block of your Q2 EBITDA bridge between price increases, cost inflation, cost efficiencies, transformational accelerator and sustainable products. And the second question regards -- is with regards to your awards of EU Innovation from subsidies in two of your European plants. Should we assume that the remaining CCS projects will all be awarded EU subsidies and in what time frame? And if you could -- if I may squeeze in another one, if you can comment on what happens to the Mitchell decarbonization plans after the U.S. DOE subsidy cancellation?
René S. Aldach: Okay. Luis, it's Rene speaking. So I will take your first and Dominik will take the second. So price over costs for Q2. The good thing is all regions price over cost for Q2 are positive. And best news is the highest number is in Europe. So that's, I think, very convincing. And the -- every -- the biggest sales price increase was obviously in AMWA. We had fixed cost for all regions going into the right direction in Q2, we had in fixed cost below last year of EUR 36 million. And there, you see clearly our transformation accelerator effect. So overall, we are very happy that every region now is price over cost positive and sales price, again, also for all regions up versus prior year.
Dominik von Achten: Okay, Luis. And then on the CCS project, couple of thoughts around that. First of all, EU funding is nice, but it's by far no guarantee that these projects will fly because in most cases, the EU funding is by far not sufficient to make the projects go. That's also why you see outside of [indiscernible], there is not even one FID decision taken in the industry. I wonder why. Because you need to complement these things with many, many, many other things before you can actually FID a project. So yes, everybody is so focused on EU funding, that's nice, but let's wait and see how these projects really come to the FID status. So for us, that's one not unimportant decision point, by far, not the most important one. Just to be very clear, just to set the scene a little bit right on that one. And yes, there is a new round of EU innovation fund awards coming. And obviously, we have applied with quite a few projects for that funding round. And we are confident that we will get a positive decision on some of them. Let's wait and see how that goes. On the U.S. it's very similar to the behavior that we see that we read in the paper of the administration. Yes, they have canceled the -- formally not only our grant, but I think overall USD 3-point-something billion grants to, I think, a lot of projects. And we are now in negotiation with the administration how we deal with that situation. We formally have appealed that decision, and we will now -- we have started to negotiate and see how that will play out. We have certainly not given up on the mutual project to send a very clear message. We are confident to somehow find a solution with the administration because I think they -- my understanding and our understanding is that they want investments happening in the U.S., and they want also jobs to be created, and both would be done through the Mitchell plant. And that's why let's wait and see how this plays out.
Operator: Next question comes from Elodie Rall from JPMorgan.
Elodie Yvonne Daniele Rall: My first question is on volumes, please. So still negative in H1. Would you expect that to turn positive in H2? Notably, could you give us a bit more color on what's going on in the U.S., if the exit rates are any better, if you think the outlook is going to improve Europe, do we forecast a bit of positive volumes from here and sustainability maybe on the strong trends in Africa? And then I just have a like a detailed -- a little bit of a housekeeping question, but it's this line in operating results in group services and other, which had a big swing of EUR 24 million in Q2. So I was wondering what drove this swing and if this should reverse in H2?
Dominik von Achten: Let me take the first one, and then I'll give the second one to Rene. I'm sure he's already looking forward to that one. So Elodie, let me comment maybe and bring you some color on the volumes. I think in general, broadly, we should have seen the worst on volume decline, but we can't give you a guarantee which quarter exactly the turning point is reached. Whether it's happening, let's say, more towards the end of 2025 or more in 2026, hard to tell. That's also true for Europe. You know that the early indicators, if you look at permitting situation, everything that goes in the right direction, but it typically takes 6 to 12 months before it really kicks in volumes. So in that respect, whether it's the tail end of '25 or the beginning of '26, very hard to say. That is probably true for both the markets that you described, Europe and the U.S. I think in the U.S., we have the special situation that the interest rates have not yet moved down, and that obviously doesn't help the rebound of the housing market. You know that's very interest rate sensitive. So that's the one point that I think we need to continue to watch in the U.S. And the second question for me is the mindset of the current administration, whether they want to continue with the uncertainty that they create through the current discussions or whether they want to slow down in that respect and bring some certainty to the table down the road. Personally, if you ask me, I'm hopeful that looking a little bit at the midterms in November 26, I internally said, if it doesn't come down right fairly soon after Labor Day this year, in our industry, at least, you won't see a positive effect anymore before the midterms. So let's wait and see. I remain hopeful that the U.S. will see some rebound. And then I can be the weather guy because you know that the weather was a little bit volatile in the U.S. to say the least. Let's wait and see. I don't -- that's something I can't manage nor guarantee, but it certainly was an usual weather pattern in the U.S. that we've seen, and let's see how that plays out in H2, and that will then also give the full-fledged answer to the volume. Africa, we continue to be very positive. Things look for the key markets for us look absolutely in the right direction. So there's no reason to believe that Africa can't continue to click along as they did. Rene?
René S. Aldach: So Elodie, the good thing is you are in detail in our numbers in reading what we published, that's good. Thanks. And you give me the hard time with questions. But okay, this is -- there's a EUR 24 million, let's say, delta to prior year, but that is, let's say, accounting on group level provisions back and forth, in and out. So will this turn worse? I don't think so. Will we get something back? I would answer, yes. So there's no structural issue there. It's just movements, timings, provisions and what have you on group level.
Christoph Beumelburg: Very clear, Rene. All good, Elodie?
Elodie Yvonne Daniele Rall: Yes, yes.
Christoph Beumelburg: Our next question comes from Tom Zhang from Barclays.
Tom Zhang: First one, just back on the U.S., please. So you mentioned positive pricing in all regions, but I guess slightly negative like-for-like still in Q2, so challenging volumes. Just wondering how you're thinking about price into the second half? Is carryover pricing still going to be enough? Or do you think there's a bit of a risk around price cost in the U.S. in the second half? And maybe if you could split that cement versus aggregates as well because I guess the margin progression has slowed a little bit in cement. And then the second question, just on APAC. So obviously, a very healthy rebound that you can see in the APAC RCO. Maybe just a little bit more color generally on what's driving that recovery and how sustainable that is as well into the second half?
Dominik von Achten: Tom, thanks a lot. Maybe I'll take both of the questions. And then Rene, if you have some additional comments, just jump in. On the U.S., I'm positive on pricing in the U.S. That's true for cement and aggregates, maybe a little bit more positive for aggregates than for cement. But in general, the pricing momentum from our perspective is fine. And the clear answer to your price over cost question, absolutely, the clear target is to keep that well into the positive, and I have no indication that, that won't work. So in that respect, we are very confident that we can keep that positive. When it comes to APAC, APAC for us consists of 5, 6 different key markets. I think Indonesia, to be honest, volume is okay, but overall, market development is fairly sluggish, not where we expect it to be. Obviously, that's the big upside. If that comes back, that would help us quite significantly. Good news is that India is clearly coming back after some difficult years for us in India. There, the performance has really rebound. The same is true for Thailand. China is not super important for us, but remains very sluggish from our perspective. And then Rene, you may want to comment on Australia. That's an important market for us.
René S. Aldach: So you've seen the weather events in Australia in the first 6 months. So that was obviously not so helpful. So from my perspective, Australia should even perform better -- much better in H2 than in H1. So that's probably what I have to say to Australia. And did you mention Thailand on it? Thailand is super strong.
Operator: Next one comes from Ephrem Ravi from Citi. .
Ephrem Ravi: Two questions. Firstly, North America, trying to get a sense of the impact of the acquisition of Giant in your financials. I suppose most of the difference between headline and like-for-like growth is Giant. So very rough math, looks like the EBIT margin is substantially lower or around half of the rest of your North America business. Is that correct? Or if that is correct, what would be the steps to kind of improve the margins there? And secondly, a little bit more strategic question. You had identified supplementary cementitious materials as one of your key growth areas in North America in your Capital Markets Day and a natural fit given your low-carbon cement offering in Europe. With CRH buying Eco Materials, do you think you should be moving a bit more quicker in that area before the assets get taken?
René S. Aldach: Tom, I will take the first one. The answer to your question, is it Giant? That you are clearly wrong because Giant, we closed somewhere in April. And remember, last year in August, we did some acquisitions in the ready-mix and aggregate space in the U.S. So that is the impact what you see here. And be careful first 6 months -- the first 3 months in the U.S., you can have even negative results due to winter and what have you. So that is not a Giant impact. So Giant, to give you the view, Giant is fully on our business plan. So that's positive. So we should see in H2, obviously improved numbers here. But bear in mind, we bought the aggregates and ready-mix stuff in the U.S. in August. So we have consolidation impact until August for this and then it's over. So Dominik, over to you.
Dominik von Achten: Yes, Ephrem, thanks a lot for the SCM question. You're absolutely right that SCM for us, not only in North America, but also globally, is a focus. We never denied that. In fact, that's part of our strategy. When it comes to your specific question around North America and the specific transaction, to be very clear, from our perspective, it's not about speed, it's about discipline. We are disciplined on the execution of acquisitions, especially also in North America. From our understanding, the market is a little bit heated. So we are going to stay disciplined. And on the specific acquisition, I'm not going to comment on what our competition is doing. I can only tell you in transparency, we have looked at this exact same asset a couple of years back and after significant due diligence, have declined to execute. So we absolutely had it on the radar screen, but denied to execute. So that's where we are.
Christoph Beumelburg: The next question comes from Pujarini Ghosh from Bernstein. .
Pujarini Ghosh: Sorry for coming back to the U.S. pricing topic. So in the CMD, you had highlighted that over the past few years, you've increased cement and aggregates pricing at around 5% to 6% CAGR. And this year, we've heard from you and as well as some of your peers that pricing probably is not as strong. So I understand that it's still positive, but could you probably give us a bit more color into that? And one question for Rene. So coming back to the free cash flow and the noncash item that you pointed out, could you just explain what's going into that? You talked about currencies and provisions. Maybe if you can give some more detail.
Dominik von Achten: Yes. Let me -- first of all, you don't have to excuse for your question on pricing. I think it's a big focus for us. So absolutely fine. We have no problem. If we can't comment on details, we'll let you know. But I think in general, to answer your question, it is clear -- it is positive pricing both in cement and aggregates. Obviously, with the regional market difference that I can't go into any additional details. But it's probably a little bit more pronounced positive in aggregates than it is in cement to my earlier comment. But absolutely, we are still focused to realize good pricing in North America. Keep in mind, there is also now in the translation into Europe, a significant currency impact for us because obviously, local currency has moved quite a bit, but we report in euro.
René S. Aldach: So now to your question, what is the noncash items in [ other ]. We have our discontinued operations there are -- where we have some cash outflow there. We have changes in provisions over there. We have their result from disposal of assets because if we are having a positive answer the impact that will be taken out there and you get the positive [indiscernible] in net CapEx. And that's probably -- these are the 4 items -- 4, 5 items and then some other smaller movements, which we have in there.
Christoph Beumelburg: I hope that answer the question. The next one comes from Yassine Touahri On Field Investment Research.
Yassine Touahri: Just a question about your view on pricing in Europe this year and next year. So I understand that this year, there is a bit of a pause in the price increase compared to what we've seen over the last 2, 3 years. And I'd like to try to understand how you're thinking about next year. Do you feel that you will be able to increase prices substantially because there will be less free allowance? Or do you feel like in the U.K., the independent imports might put a bit of pressure on prices or on your market share and might cap the price increase? It would be great to think a little bit about -- to understand the way you're thinking about those developments for next year.
Dominik von Achten: Yes. Thanks, Yassine. I think on pricing in Europe, in general, our policy has not changed. We are absolutely targeting to cover at least inflation in our pricing. That's true for cement and aggregates. And I think that has worked well. That's clearly the message. Are there regional market differences? Absolutely. Can I go into any more details? No, you understand the reasons from a legal perspective. But in general, to be very clear, the inflation coverage has worked in both business lines, and we are very focused to continue to make that happen and where we can advance pricing above inflation, that's obviously also our target, if possible. The mid- and longer-term outlook from pricing you indicated, I think, is positive because, yes, the costs will rise dramatically for especially those players who have a higher carbon footprint. That's the name of the game. That's why we are so focused to reduce our carbon footprint globally, but especially also in Europe. And with that, create a cost advantage down the road. That also turns into the advantage to work more flexible on the pricing side of things and also with lower carbon products on higher margins. So in that respect, the pricing sentiment from -- you can only -- I can only comment on Heidelberg Materials. But in our head, pricing sentiment for Europe is clearly positive.
Yassine Touahri: And when you see in the U.K., a lot of import terminal being built potentially like taking 15%, 20% of the market when you look at all the capacity. And when you see in France a company like EcoCem announcing that they want to take 5% to 10% of the market, what do you think can be the -- how do you think the industry can react? And how do you think can you avoid losing market share versus those new entrants?
Dominik von Achten: It's a competitive game, guys. This is what it is. That's why I always said I want to be able to compete with the Chinese and everybody who I'm facing in my local markets. It's not something I can manage. It's the competition that's true now for the U.K. and it's true now for France. Hey, guys, we need to be competitive against imports or other local players. That is our clear mantra. I cannot keep everybody out or do something else. For me, that's not the name of the game. We want to be the best operating player in each of the markets we are operating in. And that the local team has to face imports in the U.K. and deal with it. And the same is true for France. If they deal with new competition, well, they better make sure that they learn the lesson and understand that they need to get even better in order to outperform them. That, for us, is our clear focus. And then if CBAM has not been enacted fully, you know that the U.K. is discussing also about CBAM. So let's wait and see how this plays out. I tend to believe this is more a short-term game that you are talking about now. The mid- and long-term economics for that may not work if CBAM is enacted. So let's wait and see. I put not all my hopes on CBAM, but that certainly will give some tailwind to bring a different market dynamic along and really also honor those who are deeply decarbonizing. That's the purpose of CBAM.
Christoph Beumelburg: Next question comes from Cedar Ekblom from Morgan Stanley.
Cedar Ekblom: Just a couple of follow-ups. Can you make any comment on Padeswood? That was a project that we spoke about at the CMD as was potentially going to get approved in the not-too-distant future. Has there been any change there? Can you please talk a little bit about how you view the landscape in Germany? You guys are obviously there. You're a big player in the construction and infrastructure space. Maybe you've got a little bit of color for us in terms of how policymakers are thinking about the grand ambitions on infrastructure spending, current sort of backdrop? Are there any projects actually getting approved? Perspectives there would be really helpful. And then I appreciate all the comments on sort of pricing discipline and I understand that fully. Are there any sort of regions, though, where you are seeing a little bit more competition or where the commercial approach of your competitors in the market is a little bit less disciplined. That would just be interesting to understand.
Dominik von Achten: Okay. Cedar, thanks for your 2.5 questions. So we'll dive into them. Easy answer on Padeswood, fully on track. We hopefully get a final decision over the summer. That's been always the target. So from our perspective, that is still fully on track. When it comes to Germany, you've seen all the different announcements around infrastructure packages here and there, yet it's not fully in legislative -- through the legislative circles. So we expect this to happen in the early autumn. Now it's summer break also in Germany, and then they go into the early autumn execution. And then you have stability on the planning. And then I think it takes a couple of months, as I said earlier, 6, 9, 12 months in order for it to kick in. So I would not expect, to be very honest, any significant lift up from these large infrastructure spends in the remainder of 2025, maybe at the very tail end, but then more so in '26 and going forward. But then it really kicks in. You know the mathematics around it. If only half of that comes ever true, that's a big boost for the German market. So in that respect, whether it's energy transition, whether it's data centers, whether it's defense spend, I think that is a big tailwind for the industry in Germany, and that's a little bit the thoughts around the timing. In the meantime, you know that the interest rates are coming down. Early indication is that also housing and private construction comes back a little bit. There is small signs of hope also on that end, different to the U.S. So I think maybe we have even a couple of different factors going in the right direction when it comes to Germany. And pricing, Cedar, as I said, there is no concern for us in terms of any land slides or any clusters of markets where things go in the wrong direction. I think some of the markets have been asked by your colleagues upfront that are a little bit more volatile in this respect. But I ask for your understanding that we don't comment on any specific market for [indiscernible] reasons.
René S. Aldach: But Cedar, just to give you a little bit more color, I don't go into the details. But if you look Europe, up; North America, up; AMWA; Asia, flat, so that's a little bit by region. I think that's not a bad story. I would have said.
Christoph Beumelburg: The next and last question comes from Marcus Cole from UBS.
Marcus Cole: The first one is just on Africa. So how do you think about sustainability of growth there, not just in the second half, but also moving into 2026? And the second one is just, can you remind us on your ambitions for M&A in emerging markets?
Dominik von Achten: Yes, Marcus. First of all, sustainable growth. We've made that point very clearly in the capital markets. Africa is the only region in the world that has population growth in a meaningful way. And that will certainly also eventually drive the growth to be sustainable in Africa. Second driver is urbanization. You heard us say in the capital market that urbanization trend is fully intact, and that's also true for the big centers in Africa. So we are very positive on the mid- and long-term perspective for Africa. That's why we are operating in Africa. And as I said, it's the only global region that has sustained population growth. So in that respect, we feel very comfortable. When it comes to M&A, you saw that Asment has now closed. That's an emerging market transaction in Morocco, will continue to build out in our core markets, not outside of our core markets, but in our core markets, we're going to continue to build out our market position, but we also turn out or leave markets where we believe that's not our core market. You know that we are in transaction in Congo. Let's wait and see that, that gets closed. We've sold other smaller emerging markets, and we strengthened the position in our existing emerging markets. That's a little bit the strategy in the last couple of years, and we will communicate that we'll continue down that route for the foreseeable future.
Christoph Beumelburg: Thank you. There's one more that sneaked in. No, disappeared, as I just said it. So I think this concludes our conference call for today. Thank you for asking your questions. The fact that we only have 45 minutes probably says that we're very straightforward with our answers. And the results, we are going on the road again after the summer break. Next conference we are attending is the Morgan Stanley Conference in London, and we are also roadshowing in the U.S. in September. So feel free to reach out to us if you want to see us and meet us. In the meantime, have a very good summer break. Speak to you then in September.
Dominik von Achten: Thank you.
Christoph Beumelburg: Bye. Enjoy your holiday.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.